Operator: Good day, and welcome to IAC and ANGI Homeservices Report First Quarter 2018 Results Conference Call. At this time, I would like to turn the conference over to Glenn Schiffman. Please go ahead, sir.
Glenn Schiffman: Thank you, Operator. Good morning, everyone. Glenn Schiffman here, and welcome to the ANGI Homeservices First Quarter Earnings Call. Joining me today is Joey Levin, Chairman of ANGI Homeservices and CEO of IAC; and Chris Terrill, CEO of ANGI Homeservices. Joey and I will also address any questions you may have on IAC's first quarter results. Similar to last quarter's supplemental to our quarterly earnings release, IAC has also published it's quarterly shareholder letter. We will not be reading the shareholder letter on this call. It is currently available on the Investor Relations section of our website. I will shortly turn the call over to Joey to make a few brief introductory remarks and then we'll open it up to Q&A. Before we get to that, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in both IAC's and ANGI Homeservices' first quarter press releases and our reports filed with the SEC. We'll also discuss certain non-GAAP measures, which as a reminder include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our press releases and again to the Investor Relations section of our websites for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now let's jump right into it. Joey?
Joseph Levin: I just want to thank all the employees across all the IAC Company's for a really fantastic start to the year really as good as we can hope for almost across the board. And thank our shareholders for giving us the opportunity to do it. Let's go to questions.
Operator: [Operator Instructions] And we'll go first to John Blackledge with Cowen.
John Blackledge: Joey just on Match, you could expand on your thoughts from the letter on the Facebook dating service announcement from last week and then on ANGI Homeservices, with a strong sustained growth in service request in the letter you mentioned some capacity constraints. If you could just talk about some of the potentials solves for the capacity constraints? Thanks.
Joseph Levin: I’ll do the first one, then maybe Chris will do the second. On Facebook - but first I think Mandy and the Match management team did a very nice job yesterday addressing a lot of the issues there. I think we've had competitors for years here we. Continue to have competitors come and gone some have been formidable, some remain formidable. I think Facebook obviously a real company and executes it very well, delivers wonderful products, but what we're focused on is continuing to deliver formidable product for our users, continuing to innovate for our users, continuing to delight our users in finding successful relationships. So long as we continue to do that, I think we've got nothing but opportunity ahead for this business and as always and is excited about this business and about this category as I've ever been.
Christopher Terrill: Your questions on supply related initiative, if you think about a couple of things, one if you just we’re always focused nominal we’re always at nominal service providers. Couple of things that have happened one, we had some benefit of converting sales teams from ANGI HomeAdvisor but they have to become tenured. We also had a big surge and that surge has to become tenure that is one of the biggest surges we had last year. We’re constantly every single year as long as I have been there we’re constantly balancing the marketplaces so to speak, and have more supplier have more demand. In this case we have a lot more demand particularly Angie's List driving our high-quality service request. So we're continuing to always add nominal and we’re going to focus on that I think you’ll have to have good nominal second half. We also look at caps and capacity and over the past few years, we've been so focused on nominal I don’t think we’ve appropriately thought about the qualities - service request coming in and what that’s done to the initial sales consultation when you set the capacity for an SP. And so we went back and looked and we realized that we could sit down with both new service providers and the existing base and reset their caps that are more appropriate to the quality of traffic that we had coming in over the last few years. So we’re aggressively sitting down and making sure that we have the right cap levels for new and existing service providers. And then finally, we've got new products in the letter but are often tough when we think helps expands in that capacity. So we feel very good about what that will do for the second half of the year and these efforts are highly focused. And I think we will get ultimately through nominal and through sitting down with these guys and expanding their spin levels more capacity into the system.
Glenn Schiffman: Yes just to put some numbers around that John you saw 13,000 net ads this quarter in our SP account. That’s 50% greater than the fourth quarter that’s our highest in four quarters our second highest in eight quarters. You saw our revenue per SP up 3%. So while a lot of these initiatives will take hold properly in the third and fourth quarter. We’re starting to see the baby steps in the progress against that. We’re also I’m sure this will come up we’re also taking - continue to attack the unused cap, we’re now down to 38% up 1% or down 1% there. We use 62% of our cap 61% last quarter, you may though see as Chris and his team are more successful in raising the budget level you may see that number stay the same or even decline because it's going to be about revenue driving revenue per SP and the quality of SPs as against the raw SP count.
Operator: We’ll go next to Peter Stabler with Wells Fargo Securities.
Peter Stabler: So I just had a couple follow up questions for Chris and Glenn on Angie's. Chris the opt-in platform was about wider geographic reach and accessibility and wider related task. Could you give us a little bit more color on exactly what that means for an SP, how it changes in SP's ability to source projects? And then Glenn on the 13,000 net ads in the quarter, is that kind of run rate that we should think about going forward? Do you think you can improve that on a quarterly basis, any guidance there would be great? Thank you.
Christopher Terrill: Peter so your question in terms of what this does to our service provider and how they would source a potential job. Think of our existing platform it truly is highly targeted you come in to our system, we sit down and analyze what we have available in your area. We look at what you think you can spend and we try to do the best we can of utilizing that. And what happens is sometimes we're ahead, sometimes we're behind these are 500 different little mini markets where we’re trying to balance, supply and demand. We do the best we can but we don't always perfectly align with one and another. And so what this basically does it allows service providers to look at other potential jobs in the site which one they could be interested in. And so it’s very complementary system to the highly targeted matching system that we have right now. And the fact is, with so many of our service providers using our mobile app, they’re use to sort of looking for these things they can watch to see what comes in. And so there is something of their interest that they think that they’re either have capacity that’s come up suddenly or a job that didn't go through or they have extra time they can opt into that and take advantage of that job. So we see that - our success has been built on highly concentrated matching its very detail and targeted but there are times based on job, cadence, whatever the case maybe someone may even just turned their leads off because they are starting a job if something come up that they think they would like to advantage of. So this vastly expands their ability to determine what they want to do when they going to do it. And frankly it helps utilize a lot of our potential sort of unsold or undervalued inventory. So I'm very excited we’re at the very early stages but I think it’s going to be an interesting compliment to our existing model.
Joseph Levin: I’ll just add there Peter imagine in the initial sale you got a cost and you’re skeptical service professional and that SP is going to say all right I try this but I am going to do only this one single zip code because it’s three blocks from my house and I am only going to do this one simple job because I know I can work on that job and I’ll try that system out. We all use that SP it could drive a lot further than that one zip code and a table more in that one job but they started out in that one very narrow slice. And what this opportunity does it says look you could take a look at this other stuff you’re in you got the stuff that you know is your bread-and-butter, you could take a look at this other stuff and that really is a big opportunity both for them and for us and for our consumers.
Glenn Schiffman: Yes on the SP question we have in the letter we actually here which is we’re determined to add a record number of SPs on the platform but we’re equally focused this year and as I said earlier on revenue per SP. So we think the SP growth year-over-year will continue in and around these numbers in the kind of low to mid 20s and probably in an around the 13,000 may be a little lower again as we shift our efforts to revenue per SP. What we’ve really seen as the demand has come in from the Angie's List side, we’re going to suffer lot to the latent demand we have actually in the supply side and the initiatives this year will be unlocking that latent opportunity in the supply side.
Operator: We'll go next to Eric Sheridan with UBS.
Eric Sheridan: Thanks for taking the question, maybe one on Vimeo just you highlighted some new figures in the letter curious how we should be thinking about some of the friction points your solving for in the business in terms of getting broader adoption of the platform, stimulating growth over the medium to long-term. And how we should think about that is a mix between growth and margin through Vimeo? Thanks guys.
Joseph Levin: Sure we’re certainly favoring growth over margin with Vimeo right now margins and Vimeo still negative. So we’re going to be investing in that business there is a few areas to invest too biggest are clearly product and marketing. On product, as you release new features and we are seeing this consistently, as we release new features users are willing to adopt those features and pay for those features. Live is a great example and we've been moving up ARPU nicely at average revenue per user, nicely overtime. So we’re going to continue to invest in new products so that means mobile products, that means features like Live. And then on the marketing side, we're still meaningfully underpenetrated. I think in the marketing opportunity we shared data about how little we are spending internationally but we clearly have real interest internationally because something like paying are coming internationally and our marketing doesn’t put that way. So, we know our marketing methods so we’re going to lean into the marketing and continue to spending. The other place is enterprise sales. So we have started to get enterprises on the platform and started to focus a dedicated sales effort against the enterprises. Today this is a handful of people and in the future I think that would be a much bigger opportunity but bringing those enterprises into Vimeo, I think is a very large market that the products make a lot of sense for us.
Operator: We’ll go to Chris Merwin with Goldman Sachs.
Chris Merwin: So the first one is on ANGI Homeservices, you had really nice over delivery on margins in the quarter and I think in the letter you mentioned the very strong organic demand growth that you’ve seen which allows you to lower marketing spend as you work to solve for some of the supply constraints that you have now. So as it relates to the 2018 EBITDA guidance that you've maintained, is it fair to say that revenues is trending a little behind as you work on supply or margins are trending slightly ahead of the original plan. And then just a second question in the letter, Joey I think you talked about 20% topline growth for the fourth quarter. At the time of acquisition I think the five-year revenue CAGR guidance was 20% to 25% growth. So in the context of that guidance should we be thinking about revenue accelerating next year or sort of staying in - sort of where it is as you exit '18? Thank you.
Glenn Schiffman: Yes, let me take most of that but will allow Chris and Joey to come on the 20 to 25. In terms of the way this year is playing out, recall when we announced Video, we talked about the traffic synergies which were - what we called the bucket 2 synergies. And we talked about the synergies coming in one of two ways. One, could be increase revenue as we modify the increased demand coming over from the ANGI's website that turns into EBITDA after you acquire the direct expenses obviously against that revenue or that should come in as a result of decreased expenses as we take that three for that cheaper if you will or more cost effective service request as against paid service requests or service as we get on the HomeAdvisor platform with marketing and otherwise. And that is, we’re seeing that play out right now. And until our supply constraints free up towards the back half of the year probably the fourth quarter we’ll continue to see the bucket 2 synergies continue to come through as expense savings as against revenue minus direct cost. You saw that in our margins this quarter. Our margins increased from 7% to 16% year-over-year. That was of course put in by the expense synergies, as well as the traffic synergies and yes a reduction in the marketing spend. The reduction in the marketing spend just as a fact to it draw five percentage points of that margin improvements from 7% to 16%. So yes, the bucket 2 synergies played out as margin this quarter will probably play out in the margin line in the third quarter until again our supply kicks in and then we’ll see it come in the fourth quarter of revenue which is why we alluded in the letter than in the fourth quarter our revenue growth will pierce through 20% which gets us up well for a long term target.
Joseph Levin: I’ll say longer-term, I think - we'll we’re seeing so much demand coming through and now the investment - continued investment in adding nominal FDs, improving capacity and also in the new products, I think will be a balanced market, - municipal balance that marketplace going forward. So I still feel good about this numbers that you gave.
Christopher Terrill: Yes, remember when we announced the transaction in a year ago and then in our subsequent letter, there were three powerful tailwinds that is driving this marketplace. Obviously, one is offline to online conversion. Two, is our penetration of the market, and three is our take rate and we still have those tailwinds behind us pushing us forward.
Operator: We’ll go next to Jason Helfstein with Oppenheimer.
Jason Helfstein: Two questions, first on ANGI then a IAC question. Just follow on that, what’s the common about 20% growth or baseline for the future, just reconcile that with the prior comment that you guys made the time the acquisition was 20 to 25. So question being, you’re going to exit at 20%, should we be thinking kind of 20 to 25 for next year or is kind of 20 a more reasonable number. And then Joey, do you believe you missed an opportunity to spend much when the stock was at high or find another way to extract value say through M&A using stock. And then you maybe bridged to the comments you made in the letter about having 2.7 billion of aggregate cash, 700 million free cash flow this year. Is there a level on which you’d be buying much stock and then how do you think about buying that stock versus IT stock and just in general all the options you have to giving your capital structure in excess to capital. Thanks.
Joseph Levin: So on the baseline that just means the bottom of the range being - we are there into board, but we expect to be in that 20% to 25% range in the future. Look, just the simple math, we have to find handy first business which we bought that means to stabilize. The other business continues to grow, will continue to grow and add that kind of math. So the system then you start to get to a accelerating growth after this year. And that was always our plan and I think what we always try to communicate something in that range. And on Match, I don’t think announcement for the share price has any impact on considering spins or previously considering spins. That’s not kind of how we think about when whether to spin the business. It depends on really the benefit – we’ve always had the benefit that the potential new business gets, the benefit of the business that is behind that spins the new business and those are all things that we consider - as we consider what the structural options are for the business. Where the share price is any given movement is not the huge consideration and that analysis with that Match. As is relates to using our cash, all the items remain on the table. Obviously the chair price has moved quite and bit in the last week or two and that - serious look at all options. Again share repurchases among them is for sure. But all those things are on the table, share repurchases always have, always will be on the table that’s both at the IAC and at the Match level. Dividend reports are on the table, M&A report is on the table and that mix of things is something that will do the Match one, we’ll look at the opportunities around and see what makes sense as the quarter and the year progresses.
Glenn Schiffman: And just to fill in some numbers on your first question. Obviously consolidated revenue growth was 15% this quarter, next quarter we guided to 16%. The third quarter should be a scoop higher than the 16 and again piercing through 20% in the fourth quarter and yes, we do think accelerating from there into our 20% to 25% range over a period of time for sure. And look the wall math of which Joey spoke of absorbing the ANGI's list. You know quarter-over-quarter this year ANGI’s list was down 17% embedded in that is the e-commerce business that this quarter was down virtually a 100%, it was 94% and the remaining quarters for the rest of the year, that will down 100%. So that revenue we shut down the e-commerce business. That revenue is just going away. And we always talked since Day 1, about the consumer subscription business that we are deemphasizing so that is also shrinking. You’ll note in the letter obviously we said those declines will recede by the fourth quarter again setting us up really well for 2019.
Operator: And we’ll go next to Brian Fitzgerald with Jefferies.
Brian Fitzgerald: Joey you mentioned in the letter a fewer smaller bets you recently made on some early phase businesses. I am just curious if you could comment on where your excitement lies inside that letter, how do you think about this going forward versus balance of this smaller transactions versus larger deals?
Joseph Levin: I think we are favoring smaller transaction, what maybe I split it in two. I think the four our existing businesses inside of our existing businesses I think probably a much higher range in terms of M&A from very, very tiny to bit. And I think sort of bigger transaction come in the pressure with the businesses where we already have a I think meaningful competitive advantage because that we can be better on M&A there. We could be better on transaction there. We have more information. We know the category very well. We know what to look for et cetera and so that we do more of that in the - in our existing categories. New categories we are certainly favorite smaller as partially just a result of the market meaning the risk adjusted opportunities as they decide just – there is lot of capital chasing those things, there is a lot of opportunity chasing those things in particular in the private market. And that’s those bigger opportunity I think are harder and we also look back at our finance record and think we created a lot of value in those smaller transaction Match spinning, started with $50 million, two deal that added us less than $100 million. What’s now ANGI Homeservices that was $157 million deal those are two of our biggest businesses right now, and getting into release with Vimeo was basically – portion of the $30 million deal I think. So, we are learning from that history and focusing a little bit smaller. It doesn’t mean we are making lots of small bets I don’t think we can be colorful or useful in lots of small bets since bringing capital around. But focus things where we see a huge addressable market and I’ll just say one of the market we mentioned, [indiscernible] is a tiny, tiny peanut of the business today but it is in a category that is so large that such great potential and is so clearly going to transition to online shop that’s where we want to make bet. Hopefully we’ll correct what we’ll be the only bet we’re making that category, we’ll mix our growing and try and get at least one of them right or in aggregate all of them right, and we’re going to lead into that category in particular.
Operator: And we’ll go next to Ross Sandler with Barclays.
Ross Sandler: Just two questions. On the publishing sector segment, Dotdash has had great success in the face of a pretty tough environment for premium publishers with all this changes happening at Facebook with the Newsfeed. So can you talk about some of the things that they are doing to drive revenue growth, how much of it’s coming from page views versus monetization? And then Joey going back to the stock price. In previous weathers you’ve laid out the map on the various ownership stakes, you didn’t do that I am guessing because of all the movement in the last week or so. And while some of this out of your control, how does the company think about taking advantage of volatility like we’ve seen and as the value for kind of the core IAC franchise stripping out the other pieces, goes more negative how does that change your thinking around, how you’re allocating capital. Thanks.
Joseph Levin: First on publishing, Dotdash was - for a lot of period something controversial which was not focusing on traffic from the social networks. Maybe that was because of hard lessons learned in dependence on search for - I don’t know what but we were consciously avoiding building a page dependence on social network as we’ve seen things come and go relatively quickly to social networks and the ability to monetize that traffic was very limited. So we didn’t have much exposure to that kind of traffic in the first place. The thing that’s working phenomenally well with Dotdash is they simplify the business to three principals, have the freshest content relative to any where they're publishing content, any type of content they're publishing. And the fact is page, new page loads faster than any of its competitors and having a least modify page meaning that ad load is not too happy. And of course underlying all that having fantastic content. That’s what that Dotdash did across now five or six or seven verticals. And that is working phenomenally well that's what a user wants when they're looking for the kind of content that Dotdash publishes a lot of those queries originate or inquiries originate on Google and Dotdash delivers the best result in those categories for users and that has worked phenomenally well and continue to work phenomenally well in terms of what's driving the growth specifically is a mix of both audience growth and monetization growth. We've found that we can grow monetization by reducing ad load actually, and the way we done that is because the audience that comes to Dotdash’s properties has strong intent meaning they're reading about diabetes or they're reading about transfer campaign and those days it's very clear what users of them were and were hearing back from the advertisers and we had a phenomenal thing happening at Dotdash. I think it was this quarter where every advertiser returned quarter-on-quarter because it's performing. The advertisers are telling us it's performing for them and that's a really exciting thing to see happening. And so I think that's going to continue for awhile for the first time, a sort of been leaning in this direction for a while but for the first time I think we have real competitive advantages in that business. Now it's very hard for somebody else to come in public and never better safe than us. It's hard for them to publish more content than us, its high for that content to be fresher more up to date and to do that via our ad within us. And I feel really good about that business. And I think there is huge potential and really think Dotdash now has the model for those modern publishers and for us social is now all upside. And I think we ought to be able to capture some of that upside. On the discount question, you're right you Ross we didn't mention it. You're right it's definitely more negative and you're right that part of the reason we can talk about is the numbers are moving around so much in the days leading up to the publishing of the letter is certainly something we still think about, still focus on and still look at remedies. Obviously there is structural remedies to that. Jason mentioned some before, we think about those structural remedies, all the time the size of the GAAP is also not exclusive or even necessarily a primary driver of whether to take action on those structural remedies but those do remain available to us. The biggest thing for us though I really believe is just try to be consistent and try to continue to execute against our businesses. If Match continues to execute if ANGI continues to execute, if Vimeo continues to execute, I think will start to address those things. One thing that we're also doing is showing more figures for Vimeo and we’ll probably start to do that with other businesses so that people can get a better sense of what those businesses are and whether those businesses are things that they would want a better or want to sign value to or try to get that out of a little bit more. We have a phenomenal management team at Vimeo right now, we have a phenomenal leader at Vimeo and ANGI soon who are more public be so people can get a sense of what the business is and what the leadership there is and how he's thinking about the category in the future.
Christopher Terrill: And just to tie your two questions together frankly. People often ask us what’s the hidden gems or what are the next hidden gems in our portfolio. And I think this quarter shows that these hidden gems are hiding in plain sight. You look at the performance of the ex-Match, ex-ANGI businesses and I think there some real potential and some terrific performance there that hopefully will do a bit on shrinking that gap. I’ll just add - looking at my email and there he corrected give me, the answer on one of Jason's questions. Vimeo we bought for $700,000 not for $3 million, so that's what of growth there.
Operator: We’ll go next to Dan Salmon.
Daniel Salmon: That's a material correction so that’s all right.
Christopher Terrill: I want to make sure everybody have that.
Daniel Salmon: Joey, I'd like to go back to the letter a little bit and in particular last quarter's letter where you spent some time laying out some high level thoughts on how IAC interacts with large Internet platforms and with that as context and with the news we saw from Facebook about entering one of your categories more formally. Do you sit back and think about your - is there an iteration to how you think about the relationship with the platforms, for example would you look differently at investing aggressively in a business that leveraged Facebook in the same way that Tinder did originally, there were some comments a moment ago on how the publishing business you looked a little bit more skeptically about originally building it for social. You know I'd love to just show you that high level view and then just to follow up a little bit on the publishing business. It sounds very much like you feel the growth we're seeing is sustainable and a new lot of large numbers plays its role here but that this is what you're seeing is not a sort of step change and then a leveling out from having made some changes but real sustainable growth, I’d just love to hear a little bit more on that too? Thanks.
Joseph Levin: As it relates to last letter and partnering with the platforms, our view has been consistent for a while. I think we've probably learned some hard lessons years ago from our relationships with Google both good and bad lessons in the sense that we built phenomenal success in businesses with real margins, with real revenue, with real consumer value propositions and in partnership with Google and we've seen that go in different directions, but we always for years have been appropriately skeptical of the relationship with these platforms. They're phenomenal partners but you have to protect yourself and at every step you say you have to protect yourself the business competitively and we thought that all along with respect to Tinder, we thought that all along with respect to all the Match properties, and we'll continue to think that way and that was what I was saying in the last letter is, I think we have a real skill here. A component of that skill and working with these platforms is the right level of skepticism and it is the right level of knowing how and where to protect yourself. There are very powerful platform. They're very powerful businesses. They can be very good partners. They also can be competitors and yet they know all those things going in and I think we do it and I think that's why we were less concerned by the announcement by Facebook than others seem to have been. I mean this is something that we thought about for a very long time as a possibility. And that was true by the way through the current platform, that was true of the old platforms. I remember they went all the way back in the dating business to when the portals were relevant and this is when Yahoo was Yahoo and AOL was AOL and they owned the world and. And I remember when both of them want dating products. And I remember when both of their dating parties were supposed to take over the world and subsequently actually we ended up partnering with AOL and partnering with Yahoo and partnering with MSN in those categories because we could deliver a great product for their users. And I think we're good at delivering those products. So that's kind of way I think about it Dan. Going on for a while so now I forgotten what your other question was?
Daniel Salmon: Publishing performance, a step change in flat or is it growth embedded in publishing?
Joseph Levin: Absolutely growth embedded in publishing. I think the big step change was over the last couple of years we've completely organized the business, taken out a huge amount of cost, new management team, reset the basically all of those businesses. And now we have things working. We've grown 74% year-on-year forever. No, I don't think any business can grow 74% year-on-year forever. But I see a lot of growth in that business in the future. I think we have a system, a formula that works, we’re delivering great content per users in particular categories and that content is performing for advertisers. And you to those things going, you continue to publish and we’ll look for new areas to publish and new contests and things to publish around and I do see real growth there in the future.
Operator: We’ll go next to Anthony DiClemente with Evercore ISI.
Anthony DiClemente: Maybe first for Chris on ANGI Homeservices. It will be helpful if you could remind us the barriers to entry or the competitive advantage that ANGI Homeservices enjoys and in this space - in kind of the context of the events of last week and whether or not we should be - or investors should be concerned about a large platform making a broader move into Homeservices someday or launching a competing product there. And then a follow up on Video - on Vimeo specifically. Really great bookings growth of 29% outpacing the subscriber growth of I think 13%. So what's going on there - are you indexing more to higher ARPU accounts, or maybe just a little bit on the subscriber mix. And then Glenn 125 million of recurring revenue up from 100, what is the numbers that - is that where you might exit '18 on a run rate or is that just kind of in and a number for '19 or what's exactly is the 125? Thanks.
Christopher Terrill: I’ll answer your questions on barriers to entry. Having been in the lot of platform businesses and marketplace businesses, I would say this is very, very complex business. It’s extremely difficult to enter - seem if you help a tremendous amount of capital. And maybe you think one or both side of the marketplace it’s still incredibly hard to match a homeowner with a service provider for the exact need they have utilizing the exact capacity available at a zip code level. And so I think we have seen a lots and lots of well funded start-ups try to come in. We’ve seen other folks try to participate in this space and I found it incredibly difficult and hard as a matter of fact you just look at to be only company to have huge scale and profitability. It’s just incredibly difficult. The cost of that position is difficult to get a service provider on the phone its hard to get and understand your business, it’s even harder to get them find and stick with your products as it even much harder. So there is a huge cost and investment and it takes a very skilled workforce to be able to bring a high quality service platform. When you started doing screening and improving things like that, now you have less access because you only want the best of the best and then you start trying to match up, at any given time where you have supplier demand constraints and have the ability to go up and acquire homeowners profitably and gets even harder. So, I am not saying that no one will come in but we had a lot of people dabble, be it small, medium or large and I think they all found it to be very, very difficult space to be successful and for everything from the economics to the actual structural matching, we got 20 years of algorithms that do our matching. The things we’re learning at scale, our understanding of cannibalization twin channels how build products like all of our on-demand products. They are incredibly difficult to do if you do not have scale. I think anyone looking from the outside and try to reverse engineer this business, good luck. It’s really hard. There are other businesses that you can do that but this one is pretty tough.
Glenn Schiffman: And that scale allows us to make significant investment part of year. We don’t have the sale force of 1400 strong and previously we talked about our operations team calls about, 25% of all SRs, that’s not almost 50%. So human being is calling we have 5 million SRs this quarter, up 38% so we had nearly 2.5 million phone calls. A human being reaching out to a customer making sure the job was done, was done right, and often as you know that leads to another service request. So our scale, our expense load or obviously revenue that gives us a lot flexibility here. So talked about new big platforms coming in. Amazon and Google are already in this phase, they’ve been in – they’ve been dabbling in this space for years. Amazon and Google both in bringing out press releases I think for years on various things that they are probably on that space. On Vimeo subscriber mix, Anthony you’re right, we’re focused on higher ARPU subscribers that's been the focus of the management team at Vimeo for the last probably year or so. And so we certainly push gross bookings more so than nominal subscribers obviously both are important and both need to continue to grow but gross bookings has been the priority there and that’s a conscious decision.
Glenn Schiffman: 125 million is a 2018 revenue number full year we have to do better than that.
Operator: We'll go next to Doug Anmuth with JPMorgan.
Doug Anmuth: Chris would just help me if you could give us some more color on the drivers in terms of the 50% upside in terms of service request which is coming out of Angie’s List customer were truly driving there. And then Glenn can you update us on the other two synergy bucket that you didn’t give us much color on? Thanks.
Christopher Terrill: Yes, I think the upside coming from Angie's there are couple of things one we’ve been able to as - Glenn mentioned eliminate or almost fully eliminate e-commerce but what that did is that unlocked our ability to now send high quality email to the base of users and drive them and to look for the core home-based service request that are highly valuable. So what you’re just seeing is whether it’s organically unlocking the ability to drive higher quality SRs within the Angie system or the ability to not go out because of our monetization of the traffic and go out start to bid on keyword that they were unable to bid on the past. But we’re unlocking what I think was a lot pent up opportunity. You also just have because the change that you made the ability to let a lot of those people use to balance out of Angie’s List follow through the system, gets more deeply into the system and then be able to come back. So it’s a combination of things but I think there still a lot of value to unlock there and I think as we focus on the Homeservices lesson from the other verticals and do some good blocking and tackling, we’re just seeing good flow through.
Glenn Schiffman: And the 50% that represented about 16% of our SR's for the quarter. In terms of the other two buckets obviously we said on traffic synergies were slightly ahead of the 50 million of traffic synergies we talked about. On the cost savings the bucket one synergy that you were referring to the cost savings net of foregone revenue were slightly ahead as well. We talked about a $50 million number for 2018 and we’re slightly ahead due to continued cost management and slightly better Angie's List performance. I think on the previous calls Chris talked about how for example we structured the Angie's List legacy sales force and they had a set of closer model we now have one person we put in new compensation schemes for them, more aligned with the success we’ve driven at our HomeAdvisor and are more within our originations per sales rep have come up dramatically. Of course originations are still shrinking in line with my earlier comments but we’re trending better, better than deal model and as I think I said on the last call, we have a line of site to the 75 million in 2019 as we continue to drive originations attack attrition and enhance retention. In terms of the third bucket of synergies that as I said on last call that still a 2019 maybe a 2020 event, that’s the sales force unification we had originally said that was 0 to 75 million. We still think that is very interesting. We still think that could be one of the most exciting bucket of synergies with major margin implications over time but it’s early days again the last call Chris articulated how that will take time to develop and how there are some challenges we are in. We’re starting to test that but again baby steps and we'll see that in 2019 and beyond.
Christopher Terrill: Yes, and those are complicated system. We’ve got very complicated back end system the team is doing a good job of doing some early piloting and testing but there is some real backend logistics and challenges we have to work through which will create some time before it comes to full fruition.
Operator: We’ll go to Sam Kemp with Piper Jaffray.
Sam Kemp: So obviously you’re bidding fitting a loss from the free traffic that you getting from Angie’s right now into the low cost traffic you’re getting from Angie’s. But if we just fast forward a couple of years when you don't have the supply constraints that you’re seeing and you think about advertising behind that platform. Do you think that’s apart from - that could have a higher marketing efficiency and perhaps perform better within place like SEM. And then separately can you just give us an update on the organic side of HomeAdvisor international business?
Christopher Terrill: So I think you asking sort of that the flow through or free traffic comes in from Angie how do we look at sort of overall marketing costs. And I look at it in terms of one, we’re still highly efficient on the HomeAdvisor side there is still lots of upside there. I think on the Angie's List side our view is that as we get better and better monetizing that traffic it got a very strong brand that I think we’ll be leading that business over time and I think we'll have reduced marketing cost. So we’ll have more marketing spend with more efficiency over time. So I think we’ll be able to invest in Angie’s List as we improve that platform and as we have better monetization flow through and I think there is still a lot of upside on the HomeAdvisor side as well. I think the other thing we’re finding out is with so much flowing through Angie’s List, we don’t have a giant ecosystem that we can shift between the two buckets to make sure that if there is an SR that need to be matched on one side of the other that it gets matched in the best way possible I think that’s the most exciting thing in the future is how do you best align all of this demand and how do you make sure that you're monetizing it in the most efficient manner and how do you make sure that you understand the cannibalization for highest margin between all of our channels. And so I think we’re just scratching the surface of that and I think there is a lot of excitement and interest as to what we can do in the coming years in terms of improving that ecosystem.
Glenn Schiffman: Yes that liquidity is quite powerful. In the international businesses obviously we’re in early stages of developing about that liquidity so on a constant currency basis we’re kind of mid-teens organic growth on the revenue side as you know we’re still losing money on EBITDA side.
Joseph Levin: Operator, I think we have time for one more and then we’ll let everyone get on with their day.
Operator: And we’ll go to Rob Sanderson with MKM Partners.
Rob Sanderson: So can we just go back to the conversation on the interplay with the large Internet platforms and maybe discuss that through the ANGI Homeservices lens. We did appreciate Chris’s comments on the complexities of this marketplace and would mention you that Amazon and Google have been gloving here for years. But do you think that this business is perhaps more insulated because it’s not a consumer to consumer service and requires competencies not in the traditional real house or large platforms, just love to get your view on that?
Christopher Terrill: Thank you for the softball, yes, it's absolutely. I mean I’ll reiterate, I have been in a lot of different marketplace and platforms to say this is complex is a massive understatement it is incredibly complex and incredibly difficult. It’s hard to get fee service providers and it takes a lot of time, effort and energy to profile them and to then to match them appropriately when they have capacity available for the exact right job that a homeowner is looking for. There is tremendous friction in the system and so it's incredibly hard I think it's incredibly sophisticated I think we have a tremendous advantage with years and years and years of matching and if you look at matching, our matching platform is what allow us to do instant connect and instant book and all the other things we do it allows its sets us up for being a very powerful and voice enabled world. So, with big small everybody is dabbling this it just exponentially more complicated than I think everyone realizes and your main - even if you're consumer facing business remain quite, is the service provider and helping them build their business, helping them be more efficient, helping them to have more capacity with our system is incredibly difficult. We spend a lot of time trying to understand from very, very complex data driven models how to optimize. And so as I said earlier, you just can’t look this space and even try to guess or reverse engineer. If you do not have data sets, if you do not understand what’s happening at the sort of granular level and why it’s happening, you couldn’t even begin to figure out what you should do or shouldn't do. So you can bring as much capital as you want you can be smart as you are on the space for just years and years of understanding having scale and really having the data to make decisions is really powerful and space probably more so than many other marketplaces where with enough capital and some fairly smart people, you might be able to sort reverse engineer and become a players it just really difficult in this space.
Joseph Levin: Thank you all for joining us. And we'll talk to you next quarter.
Operator: And this does conclude today's call. We thank you for your participation. You many now disconnect.